Operator: Good morning, everyone and welcome to Parex Resources Second Quarter Earnings Call and Webcast. Yesterday, Parex released it's audited financial and operating results for the quarter ended June 30, 2018. Like all Parex disclosure documents, the complete financial statements and related MD&A are available on the company's website at www.parexresources.com and on SEDAR. Before turning the meeting over to Mr. Dave Taylor, President and CEO of Parex Resources Inc., I would like to mention that this call is being recorded. So it will be available for playback on the company's website. Parex would like to remind everyone that remarks made during this session are subject to forward-looking statements, which involve significant risk factors and assumptions, and have been fully described in the company's continuous disclosure reports. The information discussed is made as of today's date and time, and Parex assumes no obligation to update or revise this information to reflect new events or circumstances, except as required by law. Please note, that at any time, participants on the webcast can submit their questions under the Ask a Question tab at the top of the webcast interface. [Operator Instructions] I would now like to pass on the meeting to Parex President and CEO. Please go ahead, Mr. Taylor.
Dave Taylor: Thanks very much, operator. Thank you for joining us today for Parex's 2018 second quarter earnings conference call. With me today is Ken Pinsky, Chief Financial Officer; Eric Furlan, Chief Operating Officer; and Mike Kruchten, VP Capital Markets and Corporate Planning. Please be advised, we're using this conference call as a forum to discuss the ongoing business and current operational results. We will not be discussing the matters related to the news release entitled Parex to explore potential strategic repositioning dated July 17, 2018. Given the nature of the process and the need for confidentiality during the process we won't be providing updates until such times as the board approves definitive transaction or strategic repositioning alternative, or otherwise the Chairman steps further disclose what is necessary or appropriate. Our plan is to conclude this process by year-end 2018. Like all our earnings call, the format of this session is Q&A with our audience, so we are opening the line to questions right away.
Operator:
Dave Taylor: Thank you very much, I'd like to take this opportunity for your interest in Parex and your continued support of the company. For further information, we invite you to visit our website or call us. Thank you, again, and have a good day. Operator?